Unknown Executive: 3 quarters of 2025. And as you maybe already saw in the presentation, we have plus 6.7% in revenue to CHF 845 million. EBITDA is up 2.4% to EUR 377 million and group net profit up 4.2% to EUR 215 million. So overall, very, very encouraging results. The only problem we face since maybe the last 3 years, but especially '24 and '25 is an ongoing cost pressure, which burdens our EBITDA and is slightly reducing our productivity. As you see in the latest figures of passenger growth, our guidance for 2025 is well based, and we can confirm it right now with already a clear visibility for full year expectations. What we need now is an efficiency improvement and cost reduction program, which is under work right now because we are in the process of making our budget for 2026, which will be for approval in our Supervisory Board mid of December. And details for the program, we will release beginning of January with the traffic results of 2025. But what we hope for is and what we are working on is to at least partially mitigate the effects of the tariff reduction and maybe lower traffic results for the coming year. I mean, cost management is always a very important issue. And I'm very positive that we will reach a lot of effects throughout the whole company in all departments, in all our daughter companies. And last but not least, we will also reduce our personnel costs, which is the most challenging issue all the time. But with a step-by-step approach, I think we will be also successful there. If we look at the figures more in detail, you see that despite the fact that interest rates are going down, we maintained a positive development of our financial results, only slightly below the first 9 months of 2024 with now EUR 11.6 million compared to EUR 11.9 million. And from today's perspective, we will have a lower EBITDA margin. It was 46.5% in the first 9 months of 2024. It's now 44.6% for the first 9 months. So it's not too bad at this level, but definitely, it's less than it was the year before. And the reason for that is that cost increases all over the board and especially also with personnel costs negatively impacted overall profitability. If we move on to expenses, you see that consumables and services used could kept more or less stable. Personnel expenses went up by 9.2%. If we put into account the change in consolidation of our subsidiary GET2, which is responsible for the cleaning, the personnel cost increase would even be 13.4% year-on-year, including also a high degree of increase from Malta. That's even beyond the cost increase here in Vienna. Other operating expenses went up by 11.6%. That is the other side of the coin of the personnel expenses of GET2, which has been included for in the personnel expenses and is now in the other operating expenses. Depreciation is slightly below the figures of 2024 and as already mentioned, EBITDA margin at 44.6% compared to 46.5% and EBIT margin at 33% compared to 33.9% in the last year. If you look at our cash flow, you see that it is slightly down. Cash flow from operating activities from EUR 322 million to EUR 268 million. On the other hand, the free cash flow went up 26% from EUR 114 million to EUR 145 million. The increase in CapEx is as planned. So we went up from EUR 131 million to EUR 199.5 million. And we will see how much will be added until the end of the year. So we will end up below the expected EUR 300 million, but not too far from that. The net liquidity was slightly reduced also by the high dividend payout and is now at EUR 438 million compared to EUR 511 but it's still on a very satisfying level given the fact that we are now in a cycle of investments and still we plan that we will finance the major investments of the coming years out of cash flow and net liquidity. So we will not need credits for the foreseeable years now. Equity went up from EUR 167 million to EUR 1.731 billion, so a plus of 3.7% and an equity ratio of roughly 70%, which still is a very good figure. Our Southern expansion of Terminal 3 is on budget and on schedule and will open as planned in 2027. We now are going to work on the tenant fit-outs and interior construction work and all the technical systems and the energy supply and as well as the connection to the existing terminal areas, but everything so far is on plan and no major issues there. We are also expecting the new hotel to open operations already in December. And we will start in the next weeks the expansion of our Office Park 4 so that we can start the operation there at 2028. A lot of other projects are underway. And so far, everything is within the plan. So last but not least, to remember the financial guidance for 2025. We expect a revenue of EUR 1.80 million, EBITDA approximately EUR 440 million or even a little bit better. Group net profit approximately EUR 230 million, maybe a little bit better given the latest traffic results and CapEx somewhere below EUR 300 million, but more or less close to EUR 300 million, we should end up at the 31st of December. So that are the main information and figures from my side, and I hand over to Julian. Yes.
Julian Jäger: Yes, I will continue with the traffic development. In the first 3 quarters, we saw growth in the group of 4%, 32.9 million passengers, mainly driven by Malta, plus 10.8%; Vienna, plus 1.9% [indiscernible] nearly 10% growth. Yes, we had a strong October. Vienna was better than in the rest of the year as well with 3.1 million passengers, plus 3.7% Malta, again, a stunning 16.7% and [Kosice] more than 15% growth. So overall, we are at 4.3% growth in the group in January to October and plus 11% Malta, plus 10%, [Kosice] plus 2% Vienna. If we continue on the next slide, the peak was very strong. So we had a solid passenger growth in summer. We had in August, the highest month passenger volume in history, 3.4 million passengers in Vienna. We had a new single day record with more than 120,000 passengers in August. So overall, a very positive development here in Vienna, ongoing robust cargo growth of 7.8% to 233,000 tonnes in Q1-Q3. So overall, I think we can be happy with the development as well. Although we know we will not reach these figures next year, but I'm coming to that later. I think growth factors are really strong. If you look at October, last year, we had a record year in terms of growth factors. This year, October was even better and January to October, slightly below the 2024 figures. So overall, I think we can be quite happy with the development. If we look at the regional distribution, I think the only thing which is probably outstanding on this slide is Asia Pacific, plus 25% market share, 4%. So we saw growth to Tokyo, Bangkok, Singapore, Beijing, Chengdu. Overall, as expected, Asia, East Asia is coming back with a certain delay after the pandemic. North America, essentially flat, Europe essentially flat with the exception of Eastern Europe, here, mainly Southeastern Europe, Tirana, Pristina, Chisinau, Burgas growing. Middle East, slight below growth, plus 2.2%; Africa, plus 2.9%. So overall, I would say, a satisfying development. Looking at the lines, Austrian, slight growth, plus 0.8%; Ryanair flat this year, Wizz Air already a slight reduction of minus 4.4%, Yes. And I think the rest is pretty solid. Pegasus growing, Etihad growing. Overall, I would say, yes, an okay development. Lufthansa Group pretty much flat, close to 50% market share. Low-cost carriers probably for the last time for a couple of years, above 30% market share, 30.4%. So we will see here quite some significant changes in the distribution of our passengers next year. But overall, yes, a good picture this year. What works really well in Vienna is operations, punctuality, again, amongst the top 3 above 25 million passenger airports, just also in Copenhagen in front of us with an average of 83.7%. Again, like most airports this year, we improved punctuality in 2025, but we are still, yes, in the top 3. So I think better than Munich, better than Frankfurt, better than Zurich. So especially within the Lufthansa Group, we kept our lead as the operationally best hub of Lufthansa Group. Yes, what do we have to expect in terms of low cost next year? Wizz Air will close their base operations in Vienna already went down to 3 aircraft in the winter schedule and will close the base completely mid-March. Essentially, I think this was the result of a strategy change of Wizz Air. I think they will concentrate again more on Eastern Europe. We had -- until, yes, mid this year, we had interesting discussions with the top management about a possible base of XLR here in Vienna and flights to India. As you know, they reduced the order of the XLR then very significantly from more than 40 to less than 10. So I think this strategy has changed from Wizz Air again. They are leaving the Middle East essentially. In Vienna, we always had a high proportion of flights to the Arabian Peninsula. So overall, yes, we would have had to reduce our charges so significantly that on the one hand, we didn't want to do that. On the other hand, I think even legally, this would not have been possible for us. So that's why we eventually decided to close their base here. Ryanair, in my perspective, will attack Wizz now in Bratislava, and we will see quite some growth here in Bratislava next year. My impression is that Ryanair wants to get rid of Wizz Air in the catchment area. So therefore, yes, my impression is that what we've seen here in 2019 that Ryanair is fighting their turf and showing with their limits will happen next summer in Bratislava. And yes, it's anybody's guess how this will end. Obviously, I would say, in terms of Ryanair reductions, we are a bit the victims of the circumstances in terms of tax environment in Vienna. We have a flat EUR 12 per passenger tax. As you know, Ryanair is fighting all the governments, which have taxes on aviation in place. So -- the same here in Vienna. They are taking the Austrian government quite fiercely. If this strategy works out or not, we'll see in the future. But obviously, if you take this EUR 12, this is roughly a 40% increase on our airport charges. And obviously, in a competitive environment where Hungary, Sweden reduced their charges to 0, where Slovakia is actively supporting airlines, especially for the intra-Slovakian flight from [indiscernible] to Košice. This is a competitive disadvantage. So therefore, we will, yes, do our utmost to get here at least a reduction in the future. But yes, which is difficult to achieve on the short term. We still don't exactly know the flight plans of Ryanair for next summer. I think we will see -- hopefully, we have some more clarity here in January. I mean those reductions are painful and will put pressure on revenues, costs and result next year. But I think we have to see it a bit in perspective as well. And you probably -- those who are covering us for a couple of years already know that we had extraordinary change in 2018, '19 following the Air Berlin bankruptcy. So to a certain extent, it was always clear that probably not all of the growth is really there for the long run and really sustainable. So we saw huge growth between '17 and '19. We went from 24 million to 32 -- or nearly 32 million passengers. We recovered very quickly after the pandemic. And now we will see next year a reduction of something around 2.5 million passengers from Ryanair and Wizz Air, probably a bit more. But overall, if you see our average growth, which was 5.3% between 2000 and 2019, so significant above the European average, I think we will sustain a year or 2 where we are below our record, which we will achieve this year. And I'm pretty optimistic that we will reach the 32 million passengers and probably surpass this mark in 2025. To talk about the positive developments, Austrian is, let's say, fighting back. They will base 2 additional aircraft next summer. They will launch a Dubai service. We will see increased frequencies to Bangkok, to Mauritius to Rome. So overall, I think a good summer flight schedule as far as we see it today for '26. Scoot will increase next year by frequency to Singapore, Air Corsica launches new flights to Ajaccio and Bastia, Air Baltic resumption of flights to Tallinn as of March. SES has come back to Vienna recently, 12 frequencies per week to Copenhagen. Condor just increased their frequencies to Frankfurt up to 3 daily. EasyJet is expanding their offering. Air India is going to 4 frequencies. Air Arabia with a daily frequency to Sharjah. What is not on this slide, but what news which reached us very recently, we expect Etihad to increase by 4 weekly frequencies by next summer. So overall, there are positive developments as well, and we will lose a bit of ultra-low cost, but we will get some other capacity as well. And I would say, overall, the passenger outlook for 2026 remains challenging at this point. Typically, airlines announce their capacity at the beginning of the year. So there's still a lot of movement. And you can see here that we still get news in the one or other direction. So therefore, as I said, the capacity reduction of Wizz and Ryanair from today's perspective should be roughly 2.5 million passengers, maybe a bit more, but we are confident to compensate around 1/4 of this reduction. And as usually, we will get in much more detail in this respect in January. Yes, I think I've said everything to this slide. We can confirm our passenger guidance. We will probably slightly head the 32 million in Vienna. We will get very close to the 10 million in Malta. We will have a record in Košice. So I'm optimistic that we will surpass the 42 million passengers in the group. Yes, record results wherever we look, but we all know that 2026 will be challenging for us. Still, I would say there are some -- we can see some light on the horizon as well. I think -- if the Middle East remains or will get more peaceful than in 2025, I think this would be a huge opportunity for Austria. I think these are extremely important passenger flows from Tel Aviv to the U.S., but as well from Tirana. So the whole region, Aman. So I think there's a lot of potential for Vienna in the Middle East. obviously, Ukraine was always a very important market for us and would be a strong market for us again. So midterm, we are optimistic that sooner or later, these geopolitical tensions will ease, and I see quite some growth potential from these areas. Coming to the segment results, starting with the Airport segment. Yes, I think we obviously capitalize on the passenger growth Q1 '23, plus 7.8% in EBIT, plus 4.1% EBITDA, plus 5.7% revenue. Overall, healthy results, I would say. Obviously, there as well. And in so far, we'll get a double whammy next year with reduction in passenger numbers, reduction in passenger charges. So the passenger service charge, minus 4.6%, landing fees, minus 2.1% to be expected. The formula kicks in again. But obviously, this will not make our life easier in 2026. Coming to handling, I think we had a strong third quarter overall, still below the 2024 figures. EBIT of EUR 8.4 million versus EUR 10.9 million in 2024. Obviously, this is the area where the personnel expense increase hits the most. We've got 1,500 people in ground handling. We have 1,000 people in security. So overall, this is where we feel the hit. Still, I think in terms of revenue, things are going in the right direction. Cargo, in particular, very strong. So overall, we -- I think the development is okay. We are significantly positive, but we see here the pressure in terms of staff costs, and this is an area where we will have to focus on a lot in the coming months and years. Just last week, we celebrated the establishment of AIRZETA, the newly established South Korean cargo airline, which officially launched their operations in Vienna and selected us as their primary European hub. So overall, we are still optimistic that cargo will continue to grow, and we are doing our utmost to keep here very close relations, in particular, with the big Korean airlines like Korean and the newly founded AIRZETA, which is joint venture of Asiana, which went bust and Incheon. Retail & Properties, yes, I think in reality, the result is better than the figures shown here actually because we have a flat EBIT development when the revenue increased by nearly EUR 8 million or even more than EUR 8 million. I think we had a number of negative one-offs, respectively, one positive one-off in the same period of last year. So we were impacted here by increasing personnel expenses, mainly provisions and costs related to the demolition of existing buildings for the purpose of space optimization. This is a negative one-off, those are the 2 negative one-offs in the third quarter this year, and we had a positive effect relating to the reversal of a bad debt allowance in the previous year. So overall, if we remove these one-offs, we would have the normalized margin here in the Retail & Properties segment. So overall, I think the negative one-offs were a bit more than EUR 4 million. The positive effect last year was a bit more than EUR 1 million. So overall, we are talking about more than EUR 5 million one-offs, which seem to burden this segment. What is still encouraging. So I think overall, sales in center management and hospitality and parking in Vienna are above the passenger development. So center management revenue plus 7%, parking plus 5%, rentals plus 2%. And we see a lot of interest in our tender for the space in the South extension of Terminal 3. We are in the very final stages of choosing the operators for our 10,000 square meter extension. And in particular, in terms of F&B space, we are at the very late stage, and it will be sincerely best of Vienna with very good commercial offers as well. So we will disclose this in the coming weeks, and we are quite happy with the outcome of this tender. Yes, let me come to my last slide, Malta, yes, uninterrupted rise in passenger volume, revenue, plus 10%, EBITDA plus 6.7%, EBIT plus 5.4%, EUR 62.7 million, strong growth to Poland, again, Ryanair growing, Wizz Air growing more frequencies, new destinations in the winter flight schedule. So as far as I can judge. I think the outlook for next year is not bad as well. Hotels being built or extended in Malta. So overall, Malta is still banking a lot of growing tourist numbers. And therefore, yes, we remain optimistic in Malta as well. Obviously, as you know, we have a very significant investment program in Malta. We need to urgently extend the terminal building, which just started now, I would say. We have already extended the Apron, which will now cover us for, yes, the coming decades, I would say, in terms of aircraft parking space. We are building a new Sky Park building. We are building a hotel. So overall, I think there's a lot going on here in the next 3 years, I would say. But due to the significant growth, this is urgently needed to cater for the growing passenger numbers. Yes, that's it from my end. Thanks a lot for your attention, and we are happy to discuss our report now.
Unknown Executive: Yes, let's start the Q&A session. Happy to discuss any topics of interest. Hands are already raised. Let's go in order, Vladimira, please go ahead.
Vladimira Urbankova: Congratulations to a very solid set of numbers and it seems to be that growth is maybe more dynamic now in October than one would originally anticipate. Yes. My questions would be focusing on upcoming challenges. That means 2026, you said that you plan to introduce cost reduction and efficiency improvement program. Could you a little bit more elaborate what are the key elements of the program? And if you can share maybe already some preliminary scope of savings you want to achieve? And next would be, yes, you pointed out to the lower passenger numbers because of the withdrawal or partial withdrawal of low-cost carriers. Do you have maybe some plan here how to improve position of Vienna, increase its attractiveness? Do you take some active measures to fill in this gap and get maybe more passenger traffic? Or you simply wait and see what are the plans of other carriers? So this would be my major questions.
Julian Jäger: Yes. Starting maybe with your first question, that's our daily work now and work in progress because we are in the second half of our budget process. And what you can expect is that through the whole company in all departments, in all our daughter companies, we defined measures to improve productivity and to lower costs. So material costs, service costs, personnel costs. So in all parts of our operations, we are defining such measures. What is not possible right now is to give you an exact number what it will end up because this is part of the budget that will be approved by the Supervisory Board in 4 weeks from now. And what I can generally claim is that we try to offset as much as possible from the effects for 2026. Will we be able to offset all of the problems? No, that would overstretch, I think, the possibilities, but it will be a very substantial part of it.
Günther Ofner: Yes. Let me continue with your second question. We obviously never just wait and see [indiscernible]. So I think we are always very actively engaging with our airlines regardless if these airlines are already operating in Vienna or they are not yet operating to Vienna. So we are obviously -- and our team is in touch with, I would say, all relevant European airlines. And obviously, it will not be easy to replace 8 or 9 aircraft here in Vienna on the short run. There is no airline I can see, which would just come and base 8, 9 aircraft here in Vienna. So I think we will have to work with many individual airlines to replace the capacity over the years in total, but not with one bang and one airline. I mean, obviously, easyJet comes to anybody's mind, but easyJet is a very slow mover. And therefore, as I said, I think -- and I think you saw the list. So there is a number of good news and airlines coming back to Vienna growing in Vienna, but it will take until we replace this intra-European capacity. And on long haul, me and my team, we are constantly in touch with airlines, mainly in Asia who could fly into Vienna. And there, I'm optimistic as well we will see in the next 1 or 2 years, like we saw in recent years with the comeback of ANA Air India. Now this year, we got school from Singapore. So I'm very optimistic that we will see here some long-haul growth as well. In terms of conditions, we reduce our charges or we have to reduce our charges next year anyway. So this should improve our competitive position a bit. We will definitely do our utmost, but probably in a completely different style than Ryanair to convince our government that overall, it would be a net contribution to the Austrian budget if there would be a reduction in the tax because this would be financed with more tourists coming to Austria. But I don't foresee next year any other changes in terms of charges. I think a reduction on average of 4% is anyway a significant improvement. And what we will stop next year is the winter incentive. So the winter incentive is still applicable now in January and December, but it will not be applicable anymore next year.
Vladimira Urbankova: Yes. This was my sub question, if you have any incentives already in plan maybe to attract more airlines.
Günther Ofner: I think honestly our.
Vladimira Urbankova: Of existing players.
Günther Ofner: For new airlines and new destinations, we have an attractive package anyway in place. For airlines which have a certain volume, I think we have good conditions. I think what really harms us is the ticket tax, and you can see the development in Germany, where the German government now is reducing the ticket tax. They are not abolishing it. But I think in terms of ultra-low cost, our biggest problem is the ticket tax. And I think it shows how strong our market is that in the years after COVID, they didn't care. But now more and more countries reduce aviation taxes, and this makes obviously the competitive environment for us more difficult.
Unknown Executive: Henry, please continue.
Henry Wendisch: Congrats on the strong results. I have, yes, one question regarding the latest topic we just talked about the air taxes. So we already mentioned Germany is reducing them, not abolishing them. But I've seen that in Austria, there's a parliamentary motion to abolish it completely. This is, I think, by the FPU, or the opposition party. So sort of what is your assessment on this that it might go through even? And then a direct follow-up question, would this maybe alter the decision of Ryanair and Wizz Air to reduce? Or is this more or less final? And maybe then speaking more long term, if this may be reduced, we will see this effect now, the Ryanair and Wizz Air reduction now, but then maybe 2027, 2028, they will come back now because the capacity planning is already done. So what sort of your idea here? What's your take on this?
Julian Jäger: I think there's a 0% chance that this motion goes through. I think it does not help. And this is where I completely disagree with Michael O'Leary, although probably not in content, but in style. I think there would be a lot of discussions behind closed doors necessary to get a reduction or an abolishment of the ticket tax. It does not work with the sledge hammer, I would say. But let's see. So I don't think that -- I mean, we have a double budget. '25, '26 and nobody in the government will touch this budget now. So the earliest imaginable reduction would be in 2027. We will do our utmost, and I think we have a lot of good arguments, but there will be no change immediately. I think Wizz Air even -- I mean, in the end, they had a lot of troubles in recent years as well with the capacity, with engines and so on. So I don't see Wizz Air coming next soon. I think we will -- it will be interesting to see how the battle between Ryanair and Wizz Air will turn out next year in Bratislava. But obviously, yes, if there would be a significant reduction or even an abolishment, [indiscernible] year to date. So I think we will have to wait and see. We will try to convince our government to give here really a reduction in the financial burden on the airlines. And then I would be optimistic that we would see ultra-low-cost growth again in Vienna, probably more from Ryanair than from Wizz Air.
Henry Wendisch: Thanks for the political sort of more color on this. That helps a lot. because we don't follow in Germany here, your Austrian news on a daily basis. So it's always good to have this picture. Then second question for me is maybe for Dr. Ofner, I've seen the operating cash flow was lower due to cash out for taxes, mainly in this I see if I look at the P&L, there's a discrepancy between P&L taxes and cash taxes. So what's sort of the difference here? And can we expect something like that to revert back in the coming quarters or years? Or what's sort of behind this?
Günther Ofner: Yes. I mean, in the phase of Corona and immediately after that, all our prepayments have been reduced. And now we have to, let me say, refill what we didn't pay in advance. And we also have now higher advanced payments. And all that sums up to roughly EUR 120 million. And it includes also the tax payment in Malta for 2025, which amounts to roughly EUR 33 million. So it's a normal process. And in '26 and the following years, we will not see such extraordinary events because the prepayment now is adapted to the expected results.
Henry Wendisch: Right. And then my last question, I think also for you, Dr. Ofner, on next year personnel expense. So now the inflation rate is still at 4%. The [indiscernible] expects 2% for 2026, if my understanding is correct. So that gives us sort of something between 2% and 4% for, I think, a demand for the collective labor wage increase for next year as well. So this is sort of against your cost efficiency program or one step against this. What sort of your take if you had a -- I mean, you don't have it, of course, but if you had a glass ball to look in the future, what would your estimate be on the wage inflation for 2026 for the one in May, actually?
Günther Ofner: So it will definitely below inflation rate. I mean, finally, we will have to agree for the new collective agreement in May 2026. But we definitely will be below inflation. And we will reduce workforce throughout the year. So altogether, I hope that we can see an absolute reduction in personnel expenses compared to 2025.
Unknown Executive: Philip, your questions are still on the table.
Philip Hettich: Hope you can hear me. First question, I just would like to revert on the incentives on the winter incentives of Wizz Air again. So could you elaborate again why you don't want to repeat those incentives given the pressure on traffic is much higher this year. So what basically changed here on your thinking compared to last year? And then also regarding traffic, can you already judge how much of the planes of the ultra-low-cost carriers that have left the Vienna base will maybe be compensated by them still flying into Vienna from other bases? Is there any visibility that you have here? So this would be the first 2 questions that I would have.
Julian Jäger: Yes. To start with your second one, no, we don't have visibility there. I don't expect that Wizz Air will fly a lot into Vienna, probably not at all. But Ryanair, we don't have yet full visibility. So we don't even have full visibility for February and March. So there are still some things in the air. And yes, overall, I just have to delay this discussion for January. We'll get every day some good news, some bad news, but the net effect of the reductions of the ultra-low cost in next year, we will just get a better idea in January. Regarding your first question, I think this is pretty easy to answer. When we introduced the winter incentive this year, we looked at a very significant increase in airport charges, plus 4.6% passenger service charge. And what our idea was back then to even it a bit out. So that's why we introduced the winter incentive. And I would not see that, again, the winter incentive would have any significant positive impact on capacity next year. And therefore, with a reduction of 4.6% on our passenger service charge and security charge, we -- that's why we discontinued this incentive for next year.
Philip Hettich: Okay. Okay. Understood. And then maybe one more for the retail segment. Do you also see any weakness here as regards to the spending per passenger from any potential weaker macro? So is there a feeling that you see that passengers just take back on their spending at your shops at the airport?
Julian Jäger: Actually, this is something we expect all the time, but it doesn't really happen that much. What we see is a reduction in banks. This is not a major part of our business. So the market share here is minute. But this is an area where we see constant decreases, which is not a big surprise given that we don't have a lot of Russians anymore that we -- so passengers from areas where you usually carry some cash and exchange it are significantly less than probably before the pandemic. But all the rest is at passenger development or even above. So this year, so far, we cannot complain. And in terms of F&Bs, it's good. or it's significantly above the passenger development. duty-free is slightly above the passenger development. So overall, we are satisfied, I would say, with the development. And yes, as I said, PRR center management and hospitality cumulated is 5.7%. Passenger development is below 3% in Vienna. So overall, it's okay, I would say.
Philip Hettich: Okay. And then maybe one more, if I can, on Malta. So the EBITDA margin reduction in Malta that led to basically a flat Q3 EBITDA year-over-year. Is it mainly due to investments that you are now conducting? Or is there any other effect here weighing as well that you would see pressuring margins?
Julian Jäger: I mean it's -- I would say it's not only investment. We see some cost uplift overall in motor as well. But CapEx is part of it and CapEx will expand in the coming years. So we will invest more than EUR 100 million probably next year, and we will invest more than EUR 300 million until 2030, so in the next 5 years. So overall, I think we -- I mean, if you see the passenger numbers going through this small terminal, which has insignificantly changed since I left in 2011 when we had 3.5 million passengers. I think everybody will understand that we will have to invest here very significantly. And therefore, yes, I would say probably not next year, but in the years to come, the margins in Malta will reduce here as well. But overall, I see still a very strong sentiment in Malta. I see a very ambitious government in terms of how to grow tourism figures. I see a very strong cooperation between the tourism industry, the airport and government. So overall, we are very optimistic for the future development here. But yes, obviously, to sustain these levels of passengers and cater for future growth, we will have to invest here very significantly.
Unknown Executive: Any further questions? No hand is raised, then I would thank everybody in the call for discussing the topics of interest for showing the interest in Vienna Airport. And the next scheduled event is January 20 with the traffic figures for 2025 and the outlook -- financial outlook for 2026. Thank you.
Julian Jäger: Thank you. Bye-bye.
Vladimira Urbankova: Thank you. Bye-bye.